Operator: Good morning, good afternoon all, and thank you for joining us today for Aena Full year '25 Results Presentation. My name is Sami and I'll be coordinating your call today. [Operator Instructions] I'll now hand over to your host, Carlos to begin. Please go ahead, Carlos.
Carlos Gallego: Good afternoon, and welcome to our 2025 results presentation. This is Carlos Gallego, Head of Investor Relations. It's a pleasure to be with you again following our conference call last week regarding the regulatory proposal. Today, we are presenting our 2025 results, our Chairman and CEO, Maurici Lucena, will be hosting this session, together with our CFO, Ignacio Castejon and myself, who will review the main highlights of the results presentation, which you can already find both on our website and on the CNMV website. After that, we will open the floor to your questions. [Operator Instructions] Without further delay, I will now hand the call over to Maurici Lucena. Thank you.
Maurici Betriu: Thank you very much, Carlos. Good afternoon, everybody. Thank you for joining us for the presentation of our annual 2025 financial results. It is a very important satisfaction for the top management to present these results because as you have seen in the communication to the market, they are record financial results. And it's our 3 year in a row that we achieved this record. And as Carlos said, this presentation follows the presentation we did last week regarding the DORA III Aena's proposal. So as usual, I will start with traffic. 2025 was also in terms of volume, the third year in a row with the highest traffic ever in Spain. We are very proud of this achievement and not only because of the volume, but also because we know it's very difficult to manage with a high quality of airport services such record volume, and we achieved both, the record of volume and I would say, a high-quality service -- airport services, excuse me. So in total, Aena Group traffic reached almost 385 million passengers. And in Spain, in the Spanish airports that belong to Aena, the figure was more than 321.5 million passengers. And as you also know, our traffic estimate for the present year for 2026 in Spain is an increase of 1.3% and to us, this is a natural estimate because we think that we have overcome the, let's say, overshooting phase of the traffic evolution after the pandemic. And now we enter into, let's say, more normal phase of traffic -- of airport traffic. And it's a combination of -- the way we see the economy, the way we see not only the Spanish economy, but very -- especially the economies of our principal foreign markets. I'm referring to the U.K., Germany, France and so on. And also that in 2026 and especially in DORA III, we will, in certain days in certain aspects, face constraints because the infrastructure -- because Aena's airports are approaching its -- or many Aena's airports are approaching its technical limits, and this is the strong reason why we propose within DORA III to enter into a very strong new phase of investment. I don't want to be dramatic in the sense that I think that these constraints on the side of our airports. I mean, they will exist, but they will not be very important. They just introduce subtleties in the way we are calculating our estimates for the future. If I now move to Brazil and to the U.K., you know that in 2025, our traffic in Luton was 17.6 million passengers. In Brazil, in one concession, almost 29 million passengers, in the other concession, almost 17 million passengers. And in terms of financial performance, I will just -- I would like just to highlight that our total revenue in 2025 was almost or reached almost EUR 6.4 billion. Our EBITDA was close to EUR 3.8 billion. And all in all, the net profit exceeds or exceeded in 2025, EUR 2.1 billion, which is a record. And as consequently, you know that the Board of Directors it was yesterday, proposed the payment of a gross dividend of EUR 1.09 per share. And on the commercial side, we experienced a very robust growth last year. I would like to stress that in the duty-free business line, for example, 3 lots, Canary Islands, the North of Spain and Andalusia-Mediterranean. These 3 lots ended 2025 above the contractual MAGs, and this is a very important achievement because this makes feel both very comfortable Aena and the duty-free companies. And as you know, we have just started the complete renovation of the food and beverage activity in Barcelona, in the Barcelona Airport. And on the real estate side, total revenue grew by 20 -- by 10.5% in 2025. And in the international arena, I think that we are -- we are satisfied because we are -- we would like to, if possible, to increase a little bit more the contribution of the international activity in the total EBITDA. But so far, we have achieved an EBITDA that in the consolidated figure was close to EUR 400 million. And I think that this is a significant EBITDA, and this is a satisfaction but because you know that we would like in the long-term to have a better balance between Spain and the rest of our international markets. And also concerning the international activity, I would like to highlight that by the end of last year, Aena obtained the most financing in the Brazilian airport sector. This will allow us to finance the CapEx of the new concession, the BOAB concession. And also internationally, you know that in December 2025, we acquired a significant participation in the U.K. in the -- respectively, in Leeds and Newcastle Airports. This is an achievement because we naturally feel very comfortable both expanding our activity in Brazil and in the U.K. because if we expand our activity, we set in motion our, let's say, extraordinary efficiency because of the functioning in the network. Okay. Now I move to financial issues. Last month, in January 2026, we launched a second bond valued at EUR 500 million with a maturity of 10 years. We are very satisfied with the financial conditions because I think that they demonstrate that in the bond markets where Aena was relatively virgin, we have very rapidly achieved the confidence of the market. And I think that the conditions of this second bond reflect the -- well, I would say that the financial assets of Aena. In terms of ESG, I would like only to mention that in 2025, Aena achieved a reduction of almost 75% of emissions of Scope 1 and 2 compared to 2019. And finally, I would like to just refresh the main messages associated to our DORA III proposal that we communicated last week. You know that the government of Spain through the Council of Ministers, they have a deadline in September 2026 to approve the definitive DORA III. And you know that our aim has been to translate into volume of investment, distribution among airports, the evolution of tariffs, OpEx, WACC and so on. We have translated, I was saying, our new cycle of investment in terms of the regulatory scheme. And this is -- this will be a complete different phase for Aena. It will be the first time in the last 20, 25 years that we enter into a very strong investment cycle. I would like to remind that in pure financial terms, this is good news because we will significantly increase our WACC, our regulated assets base in more than EUR 5.5 billion. And this is -- this should be the increase in the enterprise value. Of course, taking into account that the WACC, the OpEx, the risks and so on, they all are, let's say, reasonable. In other words, if the figures of the final DORA III approval by the government, along with the real Aena performance during DORA III, if all this makes sense, we will significantly increase the enterprise value. And this is good news, knowing that we face some risks, but we are very confident that the experience and our past performance demonstrate that we are a reliable company that will develop and materialize DORA III successfully. And you know that the key projects in DORA III, they cover the airports of Madrid, Barcelona, Malaga, Alicante, Tenerife Sur, Valencia, Ibiza, Lanzarote, Bilbao, Tenerife Norte, Menorca and Melilla. And in terms of the OpEx that I know very well that worries you, in my opinion, too much. But this regulated OpEx it is -- is just a consequence of how the economy is moving and the new phase in which Aena will -- into which Aena will enter. What do I mean by this statement? Well, I'm referring that the new OpEx is -- reflects the inflation, experience but experienced by the Spanish economy and by the way, by the world economy, the increase in the minimum wage and very specifically, the new resources we require to address the investment challenge, the increased traffic. The increased traffic also implies a little bit more OpEx, more regulatory requirements in terms of safety, maintenance and quality of airport services. This also costs money. And finally, you know that many of our airports are aging. They are aging well, but they are aging, and this means more open -- more OpEx to maintain them. And again, we have said this many times, but we are convinced that when you enter into a phase with important investment and important expansions of many airports, we have to compatibilize the new traffic, new record volumes of traffic in the future with the investment. So to compatibilize successfully these both very important ingredients, this future record traffic with the CapEx, the expansion of the infrastructures, we need a little bit more of OpEx. And for Aena, it's been, let's say, a lesson what has happened in recent years in Palma de Mallorca. The renovation, the whole renovation of the airport has been a success, but we have learned that will be -- that all the rest of things being equal, we need to spend a little bit more money to ensure that the passenger experience is better than it has been in Palma de Mallorca. In Palma de Mallorca, we will finish the renovation before expected. It will cost a little bit less than expected, but one lesson learned has been that for the future expansions of airports, we will need a little bit more money, just a little bit more to increase the passenger experience. And finally, you know that our WACC is simply a consequence of the turn of the monetary policy across the world. And finally, our average increase proposed all in all, is just EUR 0.43 every year. This regardless of the -- this boring and I don't know how to describe is noise that made by the airlines. When you compare the increase we propose with the increase in the prices of flight tickets, well, I think that this is perfectly eloquent of the difference. And regardless of this very modest increase we propose in terms of airport charges to cover this complete transformation of Spanish airports that will endure 3 decades, these new airports. I think that they will be used in the coming 3 decades. Regardless of this increase, the charges of Aena's airports in Spain will remain highly competitive. And particularly, they will remain the most competitive aeronautical charges in Europe. And this is very good news, and this is a commitment that we will accomplish. And thank you very much, and we will join you back in the Q&A session.
Ignacio Hernandez: Thank you very much, Maurici. Hi, everyone. This is Ignacio Castejon speaking. Let me go through some of the information that we have included in the presentation shared with all of you earlier today. Let's go to Slide 8 on traffic, on the Spanish platform, I would like to share with all of you that the traffic is mainly explained -- traffic growth, sorry, is mainly explained by the growth rates of the international markets. International markets grow at circa 6%, while the domestic market decreased by 0.3%. There might be many reasons related to supply and demand considerations impacting the domestic market, but that decrease is what has happened this year. With respect to the 6% growth in the international market, I would like to share that, as you know, long-haul market is still a much smaller segment than European or Spanish markets. However, Asia, Africa, Middle East and South America, LatAm have delivered growths of 41%, 19.5%, 13% and 7.4%, respectively. So very impressive growth rates in the long-haul market arena. If we look at Europe, our largest market, excluding Spain, our main 4 markets grow as follows: the U.K. at 4%; Germany, 1.8%; Italy at 9.2%; and France at 3.1%. Let's go to slide -- let's keep sorry on Slide 8, but let's have a look at the financial performance of the company in the following minutes. As mentioned by the Chairman, total revenue rise to -- by 9.5% up to EUR 6.4 billion Compared to 2024, thanks to the positive evolution of passenger traffic as discussed earlier, the continued improvement in the commercial activity, especially the revenue per pax growing to EUR 6.43 per pax and also the contribution coming from the international activity, especially one related to the construction services on the IFRIC 12, that is neutral of [indiscernible] standpoint. Excluding these IFRIC 12 accounting adjustment, revenue for the group would have grown at 7%. Let's move to Slide 9 on the cost. As we have been informing all of you through the year, total operating expenses have been going up, growing at a higher rate than traffic or even traffic plus inflation. Total operating expenses at group level grew by 11.1%, up to EUR 2,650 million with personnel expenses increasing by 8.8% and other operating expenses going up by 13.1%. If we exclude the impact of IFRIC 12 in Brazil, the increase would be materially different, would be 4.9% for the whole group. If we look at the Spanish network, total OpEx, total operating expenses grew by 6%, reaching EUR 2052.4 million. The increase, as in the case for the group, was driven by the increase in staff costs and also in other operating expenses. In the following slides, I will devote more time to other operating expenses for the Spanish network. But let me go to Slide 10 before in order to speak about EBITDA. EBITDA level reached EUR 3,785 million, sorry, representing an increase of 7.8% compared to 2024. This resulted in an EBITDA margin of 59.3%, 90 basis points lower than in 2024. The margin has been impacted because of the IFRIC 12 accounting rules. So excluding this impact, the EBITDA margin for the whole group -- for the consolidated group would have improved by 50 basis points to 61.4%. All in all, the net profit of the group rose to EUR 2,136 million. That's an increase higher than 10% compared to 2024, reflecting, sorry, the strong operating performance, the EBITDA growth, but also the impact coming from the new estimate and a change, therefore, in the useful lives of some of the fixed assets in Spain that has resulted into a more reduced or a lower amortization -- and depreciation and amortization expenditure of around EUR 68.5 million. Net cash generated from operating activities increased by 1.5%. However, this comparison is affected by the positive tax effect that we had in 2024 related to the offsetting of the losses from a tax standpoint, of course, coming from the COVID. The consolidated net debt to EBITDA ratio of the group stood at 1.46 well below the 1.57 recorded in 2024. In this sense, please let me recall that back in September, Moody's Rating Agency upgraded Aena long-term issuer rating and senior unsecured rating to A2 from A3. And 7 weeks ago, Fitch Ratings affirm Aena rating at single A. Let's move to Slide 11. If we look at the performance of the group by the different business lines, and let's start with the total aero revenue. This total aero revenue increased by circa 5% to EUR 3,346 million. The dilution, you know the revenue that we are not able to get basically comparing the rate that we are able to charge in 2025 has been EUR 100.4 million, so lower than the 1 in 2024. This dilution will be recovered in a couple of years, as you know, further our regulation. On the commercial activities contribution, please let me share with you a good first -- a good set of news because this is the first year in which we were able to exceed -- sorry, the EUR 2 billion figure in revenues for the commercial and the real estate revenues. On the international front, the contribution in terms of EBITDA coming from the international activities was EUR 383 million. Let's go to -- let's analyze in more detail the commercial performance. So let's move to Slide 16 and 17, if that's okay for all of you. So the Chairman and CEO have already highlighted the significant growth in sales that the company has had. Let me have a look at the ordinary revenue figures that have had an increase of circa 10%, 9.9%, with commercial revenue going up by 9.6% in the real estate business by 14.3%. As I was saying earlier, this increase is explained by traffic, but also by the unit revenue coming from the commercial and real estate activities, that has gone up from EUR 6.1 to EUR 6.4 per pax. There are several reasons why we think we are delivering this performance. Basically, the growth has been driven mainly by the material progress in the remodeling works and the additional commercial surface that we have added to our activities, especially in duty-free, where most of the works in Madrid and Barcelona are done. Also the introduction of new business concepts, the arrival of new brands that fit with our passenger profile, the more lucrative conditions of the latest contract that we have awarded, we'll cover that point later. The strong performance of the mobility-related services, car rental and parking, as you know, the continued increase in demand for VIP lounges and also the development of many real estate initiatives, especially in cargo and hangars. Let's discuss in more detail some of these business lines on the commercial front. If we look at duty-free, sales in this business line raised by 15 -- sorry, 0.3% with the total revenue for this business line, reaching EUR 535 million. Variable rents plus MAGs increased by 7.7% to EUR 433 million. As the Chairman was explaining earlier, we are very satisfied with the performance because we have 3 lots that have already exceeded the minimum annual guarantee rents. And we were short by around 10% in another lot. So hopefully, in 2026, once most of the commercial activities in the Palma Airport are finished, as explained by our Chairman earlier, we should be able to get closer to that MAG in that specific lot of the [ Valaris ]. If we look at the F&B activity, sales increased by 6.1% and unit sales by 2.1%. Total revenue grew by 8.5% to EUR 352 million, thanks to higher penetration rates, average and higher average ticket prices and also with having more commercial service available to our passengers. If we have a look at the mobility activity, car park total business grow -- revenue grew by 8.7% to EUR 221 million. And this is a very interesting piece of information because as we were saying earlier, domestic traffic have been going down. So all this performance is mainly related to the company making available more parking spaces and also how we are managing the ticket prices in this business activity. If we look at the car rental activity, sales increased by 6.7% and total business revenue by 23.9%, up to EUR 256 million. This fantastic performance is driven by the new contract that, as you now enter in operation in November 2024. If you look at the commercial performance in the last quarter of the year, I have read some of your opinions this morning, we are already taking into account the last weeks of 2024 with the new car rental activity, and that would explain why the car rental activity in the last quarter, mainly the last weeks of the year, the performance 2025 versus 2024 has shown a lower growth rate. And the main reason is because in those weeks, months of 2024, we were already -- the new contract were already binding and was already being taken into account in the -- in our accounts. VIP services, an amazing trend has continued through the whole year with total business revenue rising by 31.5%, reaching to EUR 104 million. The income per passenger has gone up by 26.6%. VIP lounges that account for 82% of the total revenue of the business line basically managed to deliver an increase in the number of our clients by 16% and the average ticket growth by 13%. Real estate, as I was saying earlier, an increase of about 41%, mainly driven by cargo hangars, but also the new contract terms and conditions related to our FBOs activity. Let's go to Slide 18, where we show the minimum annual guaranteed rents that the company has secured by contract. Please, let me remind all of you that we are not taking into account any renewal of contracts in this information. That's why you see a decrease in trend once we sign -- once that contract expires, all the MAGs related to that contract are removed from this information, but not the new contracts that might replace those future contracts. You can also see in this slide, information related to all the new awards that took place in 2025 related to Specialty shops and F&B, where you can read the material increases proposed and signed by our operators and concessionaires in those activities. Material increases are therefore expected in -- because of those units in 2026 according to the information coming from these tenders. Let's go to Slide 19 and 20. There, you can see some further information on the other operating expenses related to the Spanish network. As the Chairman was explaining earlier and as we explained last week, the trend related to other operating expenses in Spain is a trend in which those expenditures are going up, especially related to maintenance, security and PRM services. You will see that in the last quarter of this year, there have been some increases a bit higher in some of these categories than the one that you have seen in the first part of the year -- in the first 9 months of the year. And for example, in the case of PRM, they are related to contractual arrangements related to the whole year, not only to this specific quarter. If we move on to financial consideration, Slide 21, you will see some further information on the net debt and gross debt position and cash position of Aena, the mother company, but also the consolidated position. On the consolidated position, gross debt, gross financial debt have moved up. The reason behind that is basically the financial -- the financing that we have raised in Brazil, mentioned by the Chairman earlier, BRL 5.7 billion. And with respect to the ratio that I have also seen some of your notes earlier this morning, that you can see the net debt to EBITDA in the mother company has gone down materially from 1.59 to 13.1. That ratio in the consolidated group has gone down, has gone down to 1.46. And some of you were saying that, that was a reduction lower than the one that you were expecting. Please let me share with all of you that there is a significant amount of cash that has been invested in very short-term deposits in Brazil. So all that financing that we have raised. And according to accounting rules, we -- that -- and how we calculate this ratio, that cash is not part of this ratio. It's a short-term financial asset that because we are not planning to use in the next 90 days, from an accounting standpoint is not part of the item cash and cash equivalents. If we were taking into account all that cash, short-term financial assets, sorry, as part of our cash position, the ratio of 1.46 would be around 1.35, 1.36. I hope that now is more clear with respect to that item. Let me move on to the financial -- sorry, to the international platform. So I'm moving to Luton and Brazil, Slide 20 -- 22 for Luton. Luton Airport traffic grew by circa 5%. So 17.6 million passengers went through our facilities in the U.K. EBITDA stood at EUR 186.8 million, an increase of 20.3%. If we were removing the impact coming from a compensation related to the reconstruction of the parking structure, EBITDA would have grown by 11.1% at our Luton facility, still a double-digit increase in our London airport. Let's go to Slide 23 and 24 to talk about ANB and BO or BOAB. Passenger traffic in ANB increased by 5.7%, circa to 16.8 million passengers. EBITDA at that airport increased by 19%, high -- a very material increase with the margin also going up from 43.2% to 57.4%. This margin takes into account the IFRIC 12 accounting adjustment. If we were removing that adjustment, the EBITDA margin for 2025 would be 61%, a very high margin for our ANB activities in. If we go to Slide 24, passenger growth was 5.1%, reaching circa 29 million passengers in our concession in Brazil, in our BOAB concession in Brazil, with EBITDA growing by 13.1% to BRL 678 million. EBITDA margins are materially impacted because of the IFRIC 12 accounting rules. If we were removing that impact, EBITDA margin could be at 63.4%. You know that we keep executing our mandatory CapEx in that concession, especially in the Congonhas Airport, and we are planning to deliver all those construction works in June 2028 for that airport further to our obligations in our concession agreement. And please let me remind all of you that we managed to attract circa EUR 400 million from our international activities from BOAB and also from Luton coming from repayment of shareholder loans, but also coming from dividends and fees. And that would be at the end of my presentation. So I think we are ready to start the Q&A session of the conference call. Thank you very much.
Operator: [Operator Instructions] Our first question comes from Tobias [ Froom ] from Bernstein.
Unknown Analyst: Beyond what you've just said, could you remind us which other commercial contracts will be open for tender in the short to medium term, just to gauge the upside for commercial?
Maurici Betriu: Thank you very much, Tobias, for your question. On the commercial front, as you know, we launched the advertising tender some weeks ago. The tender is moving on. The financial impact of the new contracts that would be signed following that tender would really happen in 2028 because as the advertising existing or the current advertising contracts for most of the -- our airports are expiring that year, except for the Palma Airport that is expiring, terminating this year. That's why we are launching this advertising lot altogether in this year. With respect to other commercial activities that we are planning to launch in the following weeks, there are some airports such as Malaga and Gran Canaria in which we are planning to renovate the commercial offer, and that will be happening through the year. Let me finish just stating or making the Chairman refer to the Barcelona F&B activity. That's a process that is -- has been awarded recently. And the financial impact of that process will be seen in 2026 because of all the MAGs that have been contracted for that activity. On the real estate activity, we are very active, as mentioned by the Chairman and also in my summary in cargo, in hangars, also other real estate actions that the company is launching. So there might be some financial improvement coming from that activity as well. And I think that would be a fair summary of what you might expect on the commercial front in the following months, Tobias.
Operator: Our next question comes from Luis Prieto from Kepler.
Luis Prieto: My question is the following. There is now full visibility on the CapEx plans for the next 5 years domestically. But could you please give us an overview of what this CapEx should amount to over the same period of time internationally, given the relevance of BOABs works and potentially Luton's expansion?
Ignacio Hernandez: Luis, this is Ignacio speaking. With respect to Luton Airport, well, at this moment in time, the contractual committed CapEx that is mandatory to Aena Group through that subsidiary is mainly maintenance CapEx because the -- as you know, we are the concession holder in that airport, and our concession is expiring in 2032. So limited CapEx on that front. Having said that, Luis, as all of you know, there is a DCO that has been granted to the Luton Borough through the company called Luton Rising that DCO grants the possibility to expand that airport and the expansion could be material, taking into account the maximum level of capacity that has been granted according to that DCO. But that CapEx, as a result of that DCO is CapEx that wouldn't be mandatory or committed CapEx for that subsidiary of Aena Group. So at that moment in time, that is not CapEx that is part of our forecast. With respect to our willingness to participate in that expansion, as we have always seen -- said, sorry, getting involved in the expansion of Luton for Aena is something attractive, but always subject to the attractive terms and conditions. We are hopeful that, that will be the case because it would be a win-win situation for Luton, for Luton shareholders and for the Luton Borough. But that's still something that is ongoing and it has not been resolved yet. We are always available to discuss and try to reach a positive agreement with the grantor in that respect. But so far, that has not happened yet. With respect to our Brazilian assets, as we have been disclosing on ANB, most of the CapEx -- most of the material CapEx has been delivered, has been constructed by our subsidiary. That's why you can see in the presentation a material decrease in the slide, I think it's 23, CapEx figures for that subsidiary are very limited because most of the construction activity that was mandatory according to the concession sign has been done. However, in the case of Congonhas, as you were highlighting in your question, there has been an increase in CapEx, EUR 250 million in 2025. Total CapEx figure for that portfolio for all the construction activity, if I remember, well the figure, was a bit north of BRL 4 billion -- BRL 4.4 billion, around 50% was related to Congonhas and the other 50% related to the other portfolio of airports that are part of that subsidiary. Mandatory CapEx milestones, we have to deliver most of the activity of the construction activity, sorry, excluding Congonhas through 2026 and the one related to Congonhas, the milestone according to our concession agreement is by 2028. Sorry for my long answer, but that should provide all of you a good picture on the CapEx for the whole group.
Operator: Our next question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: My question is on the DORA III traffic forecast. Having in mind that some of the investor community out there has concerns regarding the risk of AI disruption leading to potential increases in unemployment rates on white collar. It seems to me that it's harder than usual to forecast the next 5 years of traffic. So having this in mind, could you tell us a bit how you are thinking about this risk in your traffic forecast? And is this a topic of discussion with CNMC or DGAC? Does this come up at all when talking about the traffic forecast?
Maurici Betriu: Cristian, thank you very much for the question. That's an interesting topic that and we could be talking for hours on the different types of impacts that AI may have in airports, in the economy and in governments. So it's difficult for me when you are seeing those movements in the equity and debt capital markets impacting technology companies, software companies and many other industries to be specific about how that might impact traffic at Aena. And we have some impacts, some of them will be positive, other negatives. But at this moment in time, it is something that as a company, we are following as a senior management, management in the IT teams and of course, that we will take into account. Depends on the week and depends on the day of the week, you can see that one specific industry is impacted in one way or the other. These days, it seems that companies like Aena are being positively impacted because we are considered a hard asset company, transport company, but that might change next week because of how the sentiment evolves in the market these days. With respect to our conversations on this topic with the regulators, all the discussions with the regulators, as you know, are confidential because our consultation process with the regulators and the airlines is confidential. So apart from the information that we have disclosed about the CAGR on traffic and our general views on that evolution explained by the team last week -- by the senior team last week, we cannot disclose further details discussed with the regulators.
Operator: Our next question comes from Elodie Rall from JPMorgan.
Elodie Rall: So my question would be on OpEx. So clearly, you're guiding for OpEx to rise in particular in DORA III, but also in '26. It'd be helpful to have a magnitude or an idea of the magnitude of the increase in OpEx. Maybe you can start with a bit of a split in the different OpEx group like staff, supplies or the OpEx, that would be helpful to understand the moving parts.
Ignacio Hernandez: Hi, Elodie. This is Ignacio. Thank you for your question. And of course, we can devote some time to the performance of OpEx for 2025, and we can also share some views and -- our views, sorry, on the future further to the information disclosed to the market last week on the DORA. If we look at 2025, and I'm referring to, for example, the evolution, the performance of staff costs or HR cost that we have delivered a growth of around 9%, if I am not wrong. Basically, what is behind that growth is what we have been trying to share with all of you. The company is adding more people. So the number of FTEs is going up, has been going up this year. And given the new cycle that the company is about to start in the following months, sorry, we will keep adding more FTEs to the company in many different fronts, operational, headquarters so that we can ensure that the delivery of our DORA III plans and our future strategic plan is -- happens in a positive manner for everyone. We are not only adding FTEs, but also the cost from a pure monetary standpoint is going up. Payrolls are going up. And the main reason is basically agreements affecting all of the staff of Aena. That's public information. That has gone up by around 2%. But also the company has signed a new collective agreement with the unions, and there are a number of initiatives that have been agreed by the company with the agreement of the unions, and that is also impacting our staff cost line at Aena level. And that's mainly what is behind the increase of that 10%. There are other elements that we don't control, such as the increase in the social security cost that this country and therefore, Spain has approved and because of all the increases in salary FTEs and the removing -- removal, sorry, of the caps on the social security front that are also impacting our line in this specific cost item. So this trend is something that has happened in 2025 that you have seen through all the quarters, and we don't expect a different change in this trend in the following months, Elodie. If we look at the other operating expenses that is the other big cost item and we look at 2025, you have information in the Slide 26 that we are projecting, but you also have the information on other operating expenses for quarter -- for the last quarter and for the first 9 months of 2025. And as we said some months ago, some cost items such as maintenance, security, PRM services, all these cost items because of growth in traffic, because of implementation of new regulatory requirements, because of increasing costs that we are seeing and that will be higher in the future in order to maintain the quality levels that we want to maintain and that are mandatory to us because of our regulation and that will be mandatory to us because of the DORA III, because of the congested infrastructure that we are managing in some cases, and that will be even more difficult in the future. Because of trends that we are seeing in the context of our industry, PRM, penetration rates of PRM, passengers per plane, per flight are going up. So the number of people that are requiring these services are materially going up, and therefore, that's impacting that activity. And finally, VIP lounges, we are -- as we were discussing through my remarks -- my earlier remarks, this business line has been one of the main reasons of the growth in the commercial revenues, but we are very serious about maintaining the quality standards that our passengers demand. And therefore, we are improving the service there. That's why you are seeing the increase in that cost item for the whole year about 32%. In this specific quarter, 38%. Why? Because of a new contract that has been awarded, if I remember well, in Madrid -- in our Madrid facilities. There have been a couple of positive movements in the last quarter -- one in this quarter and one in the third quarter of the year. That's why you can see there a decrease of EUR 28 million. If we were removing that trend, the increasing of our other operating expenses this year would have been a bit higher. So the trend is there. This trend, sorry, is there. I want to be very frank and transparent. The company is doing its best to be the most efficient company in the industry, and that is confirmed by the OpEx per pax levels that we disclosed last week and that we -- and that they are available if you want to have a chat with us. If you compare our OpEx per pax levels with any other airport operator that is comparable to us, we are the lowest by far. EBITDA margins are still on the very high side of the industry. So the commitment of the management is there. But we cannot neglect as a management team that the trends in the industry are changing, legislation is more demanding. The company is going to manage and is starting to manage big construction projects, and that's impacting and will be impacting the cost items, the OpEx cost items of the company has impacted and will be impacted in the near future.
Operator: Our next question comes from Harishankar from Deutsche Bank.
Harishankar Ramamoorthy: Just one on the change in the policy on useful lives, if I may. When I look at the tables that you've provided in the reports, I think the one visible change is on other installations and housing, but that's probably not the key driving factor here. Maybe is it that you've moved the needle within the broader range of useful lives in each category, and that's what is prompting the EUR 6 million to EUR 9 million of reduced amortization. Maybe if you could give us some color there on what prompted this and how material is this in the context of different categories of assets? And also, how much of this EUR 6 million to EUR 9 million goes towards the regulated segment?
Ignacio Hernandez: Thank you, Hari. This is Ignacio speaking. Happy to clarify your question on -- related to the assets. The company manages and monitors all the asset lives. Basically, our infra team is monitoring those asset lives. And when we identify potential deviations between the accounting tax lives of the assets versus reality, we launched a specific report with the support normally of third parties in order to confirm that what we are seeing in reality is an industry -- is also happening in the industry. So that has been the case this year. We have seen that in some of our assets, useful lives were longer than the ones that we are using for accounting and tax reasons. With respect to the assets, sorry, that have had the largest contribution in terms of reduction of the depreciation expenditure has been the one related to surface access and also the ones related to aprons and the pavements in the air side. Those have been the ones that have moved the needle. So I will check the annual accounts, but I think that was clear. Sorry, it was not clear from your reading, Hari. With respect to the asset regulated base, basically, asset regulated base follows -- generally speaking, follows accounting rules. So this potential reduction in the depreciation expenditure this specific year, this might be resulting into a higher asset regulated base at the end of the year than the one that we were expecting before this adjustment. Taking into account that this adjustment this year is getting -- has been -- has accounted for EUR 68 million, next year will be a bit lower. So it will not be an adjustment that -- will not be a recurring adjustment as material as the one that we have seen this year because it will get lower and lower in the following years. Thank you for your question, Hari.
Operator: Our next question comes from Andrew Lobbenberg from Barclays.
Andrew Lobbenberg: This one, I suspect, is for the bus and not meaning to excite you. But if we can look back to the episode at the end of last year where there was the effort by the PP to put through this legal case through the Senate that was going to stop your tariffs increasing, but then it was cut off and it didn't get passed through the Congress, which makes complete sense to me. I mean, watching that whole episode, I was bewildered. How did it happen? Why did it happen? Why were you being treated as a political football, at least that's what it looked like to me. And I mean, why did it happen? And how much confidence can you have that you're not going to have some random regulatory or political intervention in the coming year as we work through the DORA process? Sorry if it's a bit vague, but I think you get the question, I hope.
Maurici Betriu: Thank you for the question. This is Maurici Lucena. Well, probably this is a very good question. I just think that the general sentiment in Spain is that airports work very well. And regardless of the noise, especially the noise that comes from the airlines, I think that the politicians agree with this good functioning of the airports. You know that in Spain, the air -- well, the airports and the air activity is even more important than in other countries because of its very high weight in terms of the economy because we are a very touristic country. And as a single sector, tourism is the most important sector within the Spanish economy. So -- and everybody knows that for the tourism to function well, they need planes and they need airports. So I think that this ultimately protects the airport model. The PP -- the Popular Party initiative was very weird and bewildering as you've said, because the Popular Party is the father of the regulatory framework. So this is what really surprised me. And we have -- and I personally, we have publicly acknowledged the -- well, let's say, the good decision that this new framework signified back in 2014. So I think that now that it is clear that Aena is entering a very important CapEx cycle with the renovation expansion of many, many airports I think that everybody is, let's say, more aware that the model needs to be robust because Aena, and I personally, we have said that we need this model to be robust, solid, protected because otherwise, we could not enter into this new investment phase. I think that we have had strong reminders by our private shareholders, especially TCI. We publicly answered the concern of TCI. We were crystal clear. So all in all, answering directly your question, I'm very confident that this won't happen again because I think that saying it, in other words, too much is at risk. And I think that this risk is now more clear than it was when the Popular Party surprisingly launched this political initiative. So -- and the government, the Ministry of Transport, the President, the government, they are all very aware that the model functions well, that Aena is a very good company and that it means we need trust, we need stability because what we will do in the coming 10 years is very important, both for Aena, but especially for Spain. Thanks.
Operator: Our next question comes from Dario Maglione from BNP Paribas.
Dario Maglione: Just a quick one, a follow-up. So it's a bit technical. On the D&A, you mentioned the EUR 69.6 million lower D&A. Most of it is in the Aviation segment. So D&A for the Aviation segment for the full year was EUR 557 million for 2025. What shall we expect in 2026?
Ignacio Hernandez: Dario, this is Ignacio speaking. I think we are -- if you are referring to the savings on the depreciation expenditure in 2026, that's a number that we have estimated. That's a number that we know is lower than the EUR 68 million, significantly lower. And that's how I would answer your question, Dario.
Dario Maglione: Okay. So it should be a lower depreciation compared to 2025?
Ignacio Hernandez: You are referring to the total amount of amortization, Dario? Sorry, based on your follow-up, I just want to confirm. You are referring to the total amount of the expenditure or the impact that we had this year, just to clarify Dario and avoid confusion.
Dario Maglione: The total amount in 2026 for D&A. What should we expect?
Ignacio Hernandez: Okay. Sorry, my answer was related to the specific impact that I was explaining in my previous question. Dario, I would assume a very similar level of depreciation and amortization for 2026 to the one that we have had in the 2025.
Operator: Our next question comes from Marcin Wojtal from Bank of America.
Marcin Wojtal: Yes. My question is again on DORA III, if you allow me, what are the next steps, if you could remind us? And should we specifically expect any feedback from a CNMC or DGAC on your DORA III submission before the summer, perhaps like a draft determination or some commentary that would be released publicly? Or we are essentially waiting for the final publication in September, and there is essentially one publication and nothing comes before that.
Ignacio Hernandez: Marcin, this is Ignacio speaking. Sorry, I was on mute. Well, the company has been working in a very diligent manner in order to speed up the process as much as possible with a very long consultation process that started right after the summer of last year. So it has been a long consultation process, but our goal has been putting all the information about our proposal available to the different stakeholders and regulators as early as possible. There is a deadline for the cabinet that is the end of September. That's a formal deadline included in the regulation and that's the date that is there. With respect to other reactions coming from supervisors or regulators, in the previous DORA process, in the previous DORA II process, there was a non-binding report, if I remember well, published by the CNMC discussing a number of items related to the proposal that became publicly available. I understand that, that is going to be the process this time as well. With respect to specific days, publication dates of that report, let's -- I cannot be definitive in that matter. Let's wait. Let's be hopeful that given that we have shared that information a bit earlier than the previous year, we can have those report -- those non-binding reports becoming available a bit earlier than in the previous process. You were also asking about next steps or next milestones. As explained by the Chairman in his opening remarks, there will be a process now of setting information with the different regional coordination committees or discussion about the specific projects that will impact and will benefit the regions. Thank you, Marcin.
Operator: Our next question comes from Jose Arroyas from Santander.
José Arroyas: I wanted to ask you about the commercial revenue per pax trends in connection with the information you provide on Slide 32. In the presentation or throughout your presentation, you explained that the reason for the slowdown in Q4 was largely due to car rental, and that was very clear. But I wanted to ask you specifically about the slowdown in the revenue per pax trends in duty-free and in specialty shops, any trend you can highlight to us?
Maurici Betriu: Thank you, Jose Manuel. And thank you for the question. With respect to specialty shops, I think that's a business line within the retail arena that is the one that has been, I would say, the most impacted because of disruption of e-commerce, et cetera. And also because within that business line, we have some activities that are, for example, exchange -- currency exchange, sorry, I was thinking in Spanish, apologies for that. And that is being impacted a lot as well. So the trend is there. What we are trying to do is also providing a hybrid concept. So mixing the retail concept of duty-free F&B and specialty shops to avoid or to try to maximize the return coming from the 2 business lines that we are seeing the most exciting or the most promising ones such as F&B and duty-free in that front. With respect to duty-free activities, it's true that this quarter, the performance has been a bit lower than in other quarters. There might be some accounting adjustment because this is the month, the end of the year when we take advantage in order to adjust the 12-month minimum annual guaranteed rent for the whole year, and there are some adjustment there. Also, the months of the year -- this quarter of the year is not the summer part of the year. So the trend is also a bit more negative. Having said all that, if I look at the sales in the duty-free activity still at double digit. If I remember well, Jose Manuel, was around 13% of sales increase that compared to traffic or compared to other activity levels of the company has been very, very high. Let's see how 2026 evolves. We are confident that a duty-free line for 2026 should reflect the new openings in Palma. This news -- this summer season for Palma for duty-free now that all the duty-free units will be opening that airport will be positively contributing to this business line. And that has not been the case in 2025, regardless of the very last weeks of the year that are very low season for Palma. Thank you for your question, Jose Manuel.
Operator: We currently have no further questions. So I'd like to hand back to Carlos for some closing remarks.
Carlos Gallego: Thank you, Sami. As there are no further questions, we would like to conclude today's call. The Investor Relations team remains at your disposal for any additional information or clarification you may require. Thank you very much to all of you, and have a great afternoon. Thank you.
Operator: This concludes today's call. We thank everyone for joining. You may now disconnect your lines.